Operator: Good afternoon and welcome to the Third Quarter 2016 Hewlett Packard Enterprise Earnings Conference Call. My name is Aaronson and I’ll be your conference moderator for today. At this time, all participants will be in listen-only mode. We will be facilitating a question-and-answer session towards the end of the conference. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today’s call, Mr. Andrew Simanek, Head of Investor Relations. Please proceed.
Andrew Simanek: Good afternoon. I’m Andy Simanek, Head of Investor Relations for Hewlett Packard Enterprise. And I’d like to welcome you to our Fiscal 2016 third quarter earnings conference call with Meg Whitman, HPE’s President and Chief Executive Officer and Tim Stonesifer, HPE’s Executive Vice President and Chief Financial Officer. Before handing the call over to Meg, let me remind you that this call is being webcast. A replay of the webcast will be made available shortly after the call for approximately one year. We posted the press releases and the slide presentations accompanying today’s earnings release on our HPE Investor Relations webpage at investors.hpe.com. As always, elements of this presentation are forward-looking and are based on our best view of the world and our businesses as we see them today. For more detailed information, please see the disclaimers on the earnings and transaction materials relating to forward-looking statements that involve risks, uncertainties and assumptions. For a discussion of some of these of risks, uncertainties and assumptions please refer to HPE’s SEC reports, including its most recent Form 10-K and Form 10-Q. HPE assumes no obligation and does not intend to update any such forward-looking statements. We also note that the financial information discussed on this call reflects estimates based on information available at this time and could differ materially from the amounts ultimately reported in HPE’s quarterly report on Form 10-Q for the fiscal quarter ended July 31, 2016. Finally, for financial information that has been expressed on a non-GAAP basis, we have provided reconciliations to the comparable GAAP information on our website. Throughout this conference call all revenue growth rates presented beginning with fiscal year 2015, are adjusted to exclude the impact of divestitures and currency. We believe this approach helps to provide a better representation of HPE’s operational performance given the significant divestitures we have recently completed including the sale of 51% of our H3C business in China and TippingPoint amongst several others. Please refer to the tables and slide presentation accompanying today’s earnings release on our website for details. With that, let me turn it over to Meg.
Meg Whitman: Thanks, Andy. And thanks to everyone for joining us on the call today. Let me start by saying I am pleased with the progress we made in Q3. Overall, we had a strong quarter. While revenue was down slightly on an operational basis, we saw several areas of growth in key parts of our portfolio including networking, all-flash storage, high-performance compute and technology services. Profitability was very encouraging as we continue to deliver margin improvements in enterprise services and focus on profitable deals in the enterprise group. Our non-GAAP EPS was $0.49, which even before the impact of a favorable tax rate was at the high-end of our previously guided range. Free cash flow also improved to $1 billion through diligent working capital management and we returned $1.5 billion to shareholders primarily through share repurchases. Tim will provide further color on the quarter, but I would like to take the bulk of my time to discuss today’s spin-merge announcement and put it in the context of the strategy, we’ve been executing against for the past several years. Last November, we launched the new Hewlett Packard Enterprise with the vision to become the industry’ leading provider hybrid IT with the secure next generation software defined infrastructure that will run our customer’s data centers today, bridge them to multi-cloud environments tomorrow and enable the emerging intelligent adds that will power campus, branch and IoT applications for decades to come. We believe this is what our customers are looking for and what we are best qualified to do. And most importantly achieving this vision will create a faster growing, higher margin, stronger free cash flow company for our shareholders. To realize our vision, we looked at our portfolio and our product roadmaps to determine gaps that we needed to fill and then evaluated how best to do so. Some we filled through increased R&D like the investment in our recently launched HC 380 Hyper Converged product in other areas we pursue innovative partnerships like the ones recently announced with Docker and Mesosphere. And in some cases acquisitions make sense like Aruba and SGI. Next, we identified areas of the business that were not aligned with our go forward strategy. There we had look at how to best maximize shareholder value with these assets. We’ve already made a number of decisions including the sale of TippingPoint, the H3C deal in China and of course the spin-merge of our enterprise services business with CSC. And today, we announced plans for a spin-off and merger of our non-core software assets with Micro Focus. These assets include our application delivery management, big data, enterprise security, information management and governance and IT operations management businesses. This transaction is valued at about 8.8 billion including a 50.1% ownership of the new combined company by HPE shareholders, which is currently valued at $6.3 billion and a $2.5 billion cash payment to HPE. The combined company will be led by Kevin Loosemore, current Micro Focus Executive Chairman and Mike Phillips will serve as Chief Financial Officer. After the transaction closes, Micro Focus’s Board of Directors will include an HPE Senior Executive and HP Independent Directors on the Board. The new combined company is expected to have annual revenues of approximately $4.5 billion with strong recurring revenue streams. The company will be well diversified across product lines and geographies. It'll also have a stronger go-to-market capability with nearly 4,000 sales people worldwide and deep R&D resources to deliver best-in-class solutions to customers and partners. Micro Focus's approach to managing both growing and mature software assets will ensure higher levels of investment in growth areas like Big Data Analytics and security while maintaining a stable platform for mission critical software products that customers rely on. For employees Micro Focus's approach will mean each product line will have a clear and important role in the overall company performance and employees will have a high level of clarity on the strategy for their organization. It also means employees will get to work on long-term customer focused projects and the software technology that they love. We believe the software assets that will be a part of the spin-merge will bring better value to our customers, employees and shareholders as part of a more focused software company committed to growing these businesses on a standalone basis. With this announcement, Robert Youngjohns, the current head of our software business will assume the role of Executive Vice President, Strategic Business Development, reporting to me. In this new role Robert will partner with other members of the leadership team to drive strategic customer and partner initiatives focused on growing key parts of the business. With Robert taking on this new role, Chris Hsu, our Chief Operating Officer will lead the software business effective immediately in addition to his current responsibilities. Chris's track record of driving strong performance and understanding market dynamics at HPE and throughout his career making him a great fit for this role. To be clear both software and services are still key enablers of HPE's go forward strategy. Our newly created software defined and cloud business will build upon key software assets like OneView and the Helion Cloud platform to deliver software defined hybrid IT solutions like synergy. HPE's composable infrastructure offering that enables customers to operate their workloads with unprecedented speed and agility. And in services we continue to have a world class capability in our technology services group which will represent about 25% of HPE's revenue following the two spins that we've announced. ES’ 22,000 service professionals build solutions from the ground up with the consulting and support our customers need to transform their environments and take advantage of opportunities in emerging areas like campus, branch and IoT. Once the ES CSC and the software of Micro Focus transactions are complete HPE will be an even stronger company, well positioned for the future. With approximately $28 billion in annual revenue the future HPE will have significant scale, a diversified world class portfolio and a global footprint to meet the evolving needs of our customers and partners. We'll be a market leader both in the data center and on the edge with our world class portfolio of software defined servers, storage, networking and converged infrastructure. We'll also have strong recurring revenue streams that account for approximately 60% of our operating profit and we'll have an improved free cash flow profile. Given our experience with divestitures we're confident in our ability to execute and more importantly that we're making the right choices to set both HPE and our customers up for the long term while delivering maximum shareholder value. The market is already recognizing what we're doing. With these strategic moves and our continued strong operational performance HPE's market cap has increased by over $10 billion or 40% since separation from HPI on November 01, 2015. In addition to the portfolio changes we also made important leadership and organizational changes this quarter that will make our business stronger and more efficient. For example, we started the process of rightsizing our corporate functions for the more focused standalone HPE. In addition, the enterprise group businesses have been simplified and streamlined to better address market opportunities, improve cost structure, accelerate innovation and strengthen our competitiveness. Furthermore, all business unit and corporate marketing efforts will be consolidated under our global marketing function and all sales will be under a single global leader. Finally we announced the Hewlett Packard labs would move into the enterprise group which will better align our research and go-to-market efforts. While there is more work to do, we're already seeing that our strategy is working. As a more focused organization we've been better able to allocate resources more effectively and introduce truly best-in-class solutions. For example, as I mentioned earlier, we announced plans to acquire SGI. High performance compute and big data analytics are exciting areas for us as customers are increasingly looking for ways to gain deeper, a more contextual insights from the ever expanding volumes of data. Industries like financial services, semiconductors and energy are all increasing their HPC investments. In Q3, we won several significant automotive deals where high performance compute is used for electronic prototype designs, improving fuel economy and improving crash worthiness. The SGI acquisition will further strengthen our position in the $11 billion HPC segment as well as the high growth data analytics segment. In storage, we extended our leadership in the all-flash data center with enhancements to HPE 3PAR and also introduced next generation software defined storage to enable a compassable data fabric. We also brought enterprise capabilities to the entry storage market with the introduction of StoreVirtual 3200 and in MSA 2040. We announced HPE OneView 3.0 to provide software defined intelligence across HPE’s family of infrastructure solutions. To-date, we have sold over 500,000 HPE OneView licenses across a variety of key verticals such as healthcare, industrial and financial services, and we have a growing partner ecosystem including Docker, Shaft, Turbonomic and Self Tech. We unveiled the industry's first converge systems for the Internet-of-things the HPE Edgeline 1000 and 4000 which will enable real-time decision making and deliver heavy duty analytics at the edge by integrating data capture, control, compute and storage. We also announced updates to the HPE Helion cloud portfolio including HPE Helion cloud Suite, a new software suite enabling customers to manage their full spectrum of applications across infrastructure environments and HPE Hellion Cloud System 10 a hardware and software solution to build and deploy an enterprise grade private cloud environment. But most of all we're winning with our customers and partners. Aruba continues to win customers and drive growth with its industry leading technology. For example, we helped Rio's airport handle the massive surge of travelers passing through for the Olympics this summer and Home Depot and Best Buy are currently implementing Aruba wireless solutions to provide a better in-store experience for customers and employees. Keep in mind that deals like this have great TS pull through as well. As discovered in June, we announced a new partnership with GE Digital that will enable industrial analytics from the edge to the cloud. HPE will be a preferred storage and server infrastructure provider for GE's Predix Cloud technologies and the Predix platform will be a preferred software solution for HPE’s industrial related used cases and opportunities. HPE was also instrumental in helping Dropbox transform to a hybrid infrastructure to help it meet the growing bands of its users. Dropbox moved the majority of its cloud storage business away from AWS to on-premise data center using HPE ProLiant and Cloudline servers all financed by HPE Financial Services. We also announced a groundbreaking strategic alliance with Docker to help customer transform and modernize their data centers to benefit from a more agile development environment. At the heart of this alliance is HPE's Docker ready server program, unique to the server industry which ensures HPE servers are bundled with the Docker engine and support. And today we announced plans for a commercial partnership with Micro Focus that will name SUSE as HPE's preferred Linux partner and will bring together HPEs' Helion OpenStack and Stackato solutions with SUSE's OpenStack expertise to provide best in class enterprise grade hybrid cloud offerings for HPE customers. So in summary, I am pleased with the progress we have made this quarter and I am just as pleased with the execution of our strategy since we separated from HPI. I am also excited about the opportunities we have created for shareholders in the spin-mergers of ES and CSC and our software assets with Micro Focus. We are setting up HPE for long term success while unlocking the kind of value we believe our shareholders appreciate. On that note, I’ll hand the call over to Tim.
Tim Stonesifer: Thanks Meg. Overall we performed well in the quarter. While revenue of $12.2 billion down less than 1% was not quite as strong as last quarter, margins were up as we focused on profitable market share. We also executed well considering we faced difficult compares across the portfolio in an uneven global demand environment. As we indicated last quarter, compares became more challenging as we are no longer benefitting from the large Deutsche Bank deal we signed in ES last year, and an EG, we are lapping the compares from Aruba and the ramp of Cloudline servers. From a micro perspective, we did see weakness in Europe, particularly in ES from a slowing in the UK public sector business and also in Japan in the enterprise group. The Q3 currency impact to revenue was a headwind of 210 basis points year-over-year that we expect to moderate further. We did have several areas of solid growth across the portfolio including networking up 12%, all-flash arrays up 70%, higher performance compute up 12%, and our highest margin business technology services returned to growth for the first time since the second quarter of 2012. To improve growth in the overall portfolio, we are continuing to make investments in our higher growth businesses around software defined, converge and hyper converge. While we continue to enhance our go to market efforts that we expect will improve growth going forward. Overall we are still on track to deliver what we said we would do at the beginning of the year by growing total fiscal year '16 revenue adjusted for divestitures and currency. Gross margin of 29.3% was up 60 basis points both year-over-year and sequentially, this was principally due to continued improvements in enterprise services and enterprise group to a lesser extent. Non-GAAP operating profit of 8.8% was up 30 basis points year-over-year and 90 basis points sequentially. Non-GAAP diluted net earnings per share of $0.49 was above our outlook of $0.42 to $0.46 that was primarily the result of tax benefits realized to the recent divestitures, equating to approximately $0.04 per share. Non-GAAP EPS primarily excludes pre-tax amounts for the gain on divestitures of H3C of $2.2 billion, restructuring charges of $369 million, amortization of intangible assets of $210 million and separation charges of $135 million. We delivered GAAP diluted net earnings per share of $1.32 above our previously provided outlook range of $1.10 to $1.14, primarily due to a higher than expecting gain on H3C divestiture, lower separation costs and the previously mentioned tax benefit. Now turning to the results by business. In enterprise group revenue was flat as we focused on profitability and delivered encouraging improvements in operating margins, which while flat year-over-year were up 90 basis points sequentially to 12.6%. The sequential improvement was primarily due to lower discounting, better server option attach, favorable mix and operational cost improvements as we right size the organization ahead of the separation from enterprise services and software. Server revenue declined 2% as solid growth in Tier 1 and high performance compute was offset by pressures in core servers. Within the core we did have some market coverage issues that we are addressing through recent sales leadership and go to market changes with an emphasis on SMB. We also doubled down in the fast growing high performance compute market with the acquisition of SGI and continue to invest in workload optimized solutions like SAP HANA. From a margin standpoint, the team did a nice job prioritizing profitability over share for shares’ sake expanding margins year-over-year. We also anticipate we held server share in the second calendar quarter overall and gained share in the Americas essentially optimized in Tier 1. Storage revenue declined 5% with continued declines in the legacy portfolio more than offsetting growth in converged storage of 1% that was impacted by a softer than expected market. Margins increased year-over-year driven by favorable converge mix and improved pricing in all-flash. 3PAR, plus XP, plus CVA was up 5% and all-flash 3PAR revenue continued to drive the portfolio growing 70% at record revenue levels. Despite a challenging market, we estimate we gain share in the second calendar quarter, our 11th consecutive quarter of share gains. And we continue to expect storage to gain shares through the remainder of the year. Networking revenue grew 12% and encouragingly Aruba growth has accelerated growing 20% and is exceeding our internal plan. We again saw growth across all regions as we continue to see the benefits of the combined Aruba HPE portfolio. Margins improved year-over-year driven by both a better mix and higher margin rates of Aruba. TS returned to growth for the first time since the second quarter of 2012. Revenue was up 1% as the strong order growth from fiscal year 2015 becomes a larger portion of the portfolio and revenue grew in both support and in consulting. And while orders were flat, we saw encouraging performance in non-attached and proactive services that are growing at double-digit rates and becoming a larger mix of the total portfolio. We continue to improve service intensity our attached dollars per unit which is helping to offset increased Tier 1 mix and higher server ASPs. Enterprise services revenue declined 3% as growth in the Americas and APJ was more than offset by weakness in EMEA resulting from a pause in UK public sector spending and a tough compare with the Deutsche Bank deal in the prior year. Operating profit improved 260 basis points year-over-year to 8.3%, the highest since the second quarter of 2011 as the team continues to execute on productivity improvements and delivery in sales. We also benefited from improving location mix and new deal profitability. Progress made on cost improvements, sale strength and normal quarterly seasonality provides us with continued confidence that operating margins for the full year will be approximately 7% at the high end of our original outlook. Revenue is still expected to be down 2% to flat in constant currency even with the Mphasis divestiture. We continue to track against our longer term goal of 60% headcount in low cost locations and completed the quarter with 49% of our headcount in low cost centers, a six point improvement since the beginning of the fiscal year. Software revenue declined 3% as strength in security and big data was offset by declines in IT management. SaaS had a record quarter with 17% revenue growth. The team continues to focus on disciplined cost controls decreasing OpEx 16% year-over-year. However, revenue declines ultimately outpaced operating improvements causing a 270 basis point decline in operating margins to 17.8%. HPE Financial Services revenue grew 2% and delivered the first quarter of as reported revenue growth since the first quarter of 2013. Operating profit declined 90 basis points year-over-year to 9.9% as lower residual sales from weaker volume and prior year’s pressured margin rates. Financing volume decline 4% year-over-year in constant currency, on a tough compare that saw Deutsche Bank sale leaseback volume in the third quarter of 2015. Return on equity was down 190 basis points year-over-year to 13.3% and was similarly pressured by lower residual sales resulting from lower volumes in fiscal year ’13 and fiscal year ’14. Cash flow generation was strong in the quarter as we continue to optimize working capital management. Cash flow from operations was $1.7 billion, up 10% year-over-year on an adjusted basis. Free cash flow was $971 million, up 15% year-over-year on an adjusted basis. When adjusted for the sale of Mphasis, the cash conversion cycle was 19 days, down 5 days, sequentially. Receivables where the largest contributor to working capital improvement due to favorable payment term mix and reductions to aged receivables. Going forward, we expect the cash conversion cycle to be in the mid-teens with fiscal year ’16 free cash flow of $1.7 billion to $1.9 billion. Turning to capital allocation. During the quarter, we repurchased $1.5 billion of stock during an accelerated share repurchase program and we paid $91 million as part of our normal dividend. Year-to-date, we have returned $2.9 billion of capital to shareholders. Primarily through $2.7 billion of share repurchases. With our free cash flow generation and the recent divestitures, we are on pace to return more than $3 billion of cash to shareholders in the year, which as a reminder is approximately three times our original commitment at the start of the year. Finally, I would like to discuss the financial impacts of the HPE software and Micro Focus transaction. As Meg mentioned, the transaction is expected to deliver approximately $8.8 billion of enterprise value to HPE. This includes 50.1% of the equity in the newly formed company that will go to HPE shareholders. Valued at approximately $6.3 billion based on Micro Focus’s current stock price and receipt of a $2.5 billion payment of onshore cash to HPE. HPE Micro Focus also expect to improve the margins on HPE software assets by approximately 20 points by the end of the third year following the deal close, while investing in key growth areas like big data and security. As owners of 50.1% of the equity in the new merged company, HPE shareholders will share in the value of these operational improvements, as well as future growth of earnings. We expect this transaction to close by the end of the second half of HPE’s fiscal year 2017. To recognize this $8.8 million of enterprise value and unlock a more attractive financial profile for HPE going forward. We will incur one-time separation cash payments of approximately $700 million with the vast majority occurring in fiscal year ’17. Following the separation from ES and Software Hewlett Packard Enterprise will be a faster growing higher margin, stronger cash flow company for our shareholders. Just looking at fiscal year ’16, revenue growth would be about 3 points greater, operating margins would be about 1 point higher at just over 10% and free cash flow as a percentage of revenue would be roughly 50% higher. It’s also worth noting that we have roughly 30% of revenue recurring, but most importantly more than 60% of profitability will be recurring that comes from ES and Financial Services. HPE will also have a very healthy balance sheet that currently sits at $5.3 billion in operating net cash. On top of that we just closed the Mphasis deal receiving approximately $825 million of before tax cash proceeds. We continue to see share repurchase as an excellent use of capital and similar to the H3C transaction plan to buy back shares with the vast majority of the Mphasis proceeds. In fiscal year '17 our net cash position will also be further enhanced by over a $1 billion from the cash and debt transfers with CSC and the $2.5 billion cash dividend from Micro Focus. We'll continue to deliver shareholder value with these proceeds just as we've done this year by following our returns based capital allocation approach. This approach is currently biased towards share repurchases and we'll provide more details on our fiscal year '17 capital return plan to shareholders at our upcoming Analyst Day. With all that in mind we expect to finish fiscal year 2016 with non-GAAP diluted net earnings per share of a $1.90 to $1.95 at the high end of our original outlook for the year, we expect GAAP diluted net earnings per share to be $2.09 to $2.14. Before we open it up to questions a quick reminder that we're holding our Annual Securities Analyst Meeting on October 18th in San Francisco where we'll provide additional P&L and cash flow details on the company as it stands today as well as the go forward Hewlett Packard Enterprise excluding ES and software. Now let's open it up for questions.
Operator: We'll now begin the question-and-answer session. [Operator Instructions] Our first question comes from Katy Huberty of Morgan Stanley. Please go ahead.
Katy Huberty: The slowdown in storage was a bit of a surprise given that most other players in this space beat expectations, so just to begin I wonder if you could talk about what you think drove that, was it macro or execution? And then I've a follow-up.
Meg Whitman: So, the storage performance was not as strong in Q3 as we saw last quarter I think because there was a weaker margin -- I mean weaker market, but we also increased margins and we expect to take about a 0.5 point of share year-over-year in the second quarter. And I want to remind you this is the 11th straight quarter in the row that we've taken market share and revenue was down 5% year-over-year, adjusted for divestitures and the currency as traditional declined 12% more than offsetting the 1% growth in converged. So, listen, we saw a softer market and but we've introduced our new StoreVirtual 3200, the MSA 2040 that brings the Enterprise capabilities at a fantastic price to the entry market and that has been a drag for us, we haven't had a great competitive offering in the entry market and what you know about the storage market, it's moving from high end to mid to entry very-very fast. So, looking forward I mean listen, we think the market is going to continue to be soft, but -- and that will keep overall market -- our growth muted, but we continue to gain share and we're very pleased with our HPE 3PAR all-flash performance that grew 70% year-over-year. So, some work to do there, but we feel good about where we are and on a go forward basis I think you'll see us return to growth, a bit more robust growth.
Katy Huberty: And through the July quarter you've essentially met your objective to return the 100% of free cash flow plus half of the H3C cash to shareholders, how should we think about the balance of additional buyback versus extenuating the Remanco portfolio of products after the two spin-merge deals.
Tim Stonesifer: So, we did the $1.5 billion in the ASR in the third quarter, so there will be some shares taken out in the fourth quarter as we complete that, as that was a six month program. I think looking forward we will have nice cash balances particularly as we close these transactions, so we're going to continue to execute our disclaimed ROI based approach. We think it has worked well so far. At the same time, we will consider some acquisitions right. SGI is a great example of complementary technology in the high performance compute data analytics space that we should benefit from a profitable growth perspective. So right now we’ll stick with the ROI based approach and we'll obviously share more details with you on 2017 at next month's Analyst Meeting.
Meg Whitman: People always asked us what kind of acquisitions work well HPE and I think we’ve got the formula down which is, what is complementary technology in the HPE strategy of being leading provider of hybrid IT with secured next generation software defined infrastructure. And also at the edge. So Aruba and SGI are perfect examples, complementary technology that we can put through our distribution center that really -- our distribution mechanism that really enhances value for customers. So I think those is a two perfect examples of the kind of deals you could see us do going forward. Unfortunately there aren't that many deals like that, but when they come along we'll do them.
Operator: Our next question comes from Toni Sacconaghi of Bernstein. Please go ahead.
Toni Sacconaghi: Meg, a year ago you were out on the road show talking about the split of HPE, what is now HPE and HPQ and at that time you talked about cash balance being an asset and that acquisitions will be an integral part of the strategy, you also talked about HPE being a solution's company and a growth company. Less than a year later, it feels like a different story. Cash return has been the absolute priority acquisitions have been extremely minimal, arguably divesting software and services which are essentially ingredients to many solutions seems different. And so I applaud the flexibility because the stock price has done extremely well and it's certainly been in the vein of value creation. But I was wondering if you could comment on what appeared to precipitous this change in thinking from, I think an impression that seemed different to most from the road show a year ago and is there a different end state for Hewlett Packard Enterprise going forward. I mean is this really a viable ongoing hardware centric company going forward or should we expect more portfolio rationalization? And believe it or not I have a follow-up.
Meg Whitman: So, let me take you all the way back to November 1st of 2015, where we separated HP Inc from Hewlett Packard Enterprise. And we very much laid out the strategy of beating a leading provider in hybrid IT both in the traditional data center, which by the way is still a robust market, it's 85% of the spend in IT today and we are the leader there and we need to continue to gain share. And then we wanted to focus on software defined infrastructure which is really the next generation of the infrastructure that our customers need. And then finally, build out our cloud platform and compute storage in networking at the edge. And that’s exactly what we have done and as we’ve laid out that strategy, we looked at our portfolio, what do we need to add to the portfolio either in acquisitions or partnerships, what do we need to divest, because those assets are non-core to the strategy, it doesn’t mean they are bad assets, they are just not -- they are not core to what we are doing. So if you take the ES transaction, listen, we are still going to be in the services business in fact 25% of the revenue of HPE will be services, it just a different kind of services business than IT outsourcing, business process outsourcing and apps maintenance. If you think about software, we are still going to be in the software business, it’s just not in application software like ITOM, it is system software like OneView and the software that powers synergy. So it is a portfolio matching to the strategy that we see our competitive advantage in. As far as, I think you asked about further divestitures, so enterprise group as currently configured, needs to stay together and I’ll tell why. My view of the market is everything is moving to converge and we have a differentiated position because we have networking storage and compute and that is not -- our two major competitors are missing a key component of that offering. So that we think is important to keep together. And then as you think technology services, technology services is the key differentiator for our company. We can help customers support, maintain advice and consult across the globe and it would be uneconomic to simply support storage only or networking only. So TS is absolutely integral. And then finally, obviously campus, branch and edge is a new growth area for the company, there is no reason that we should not own compute with the edge, there is no reason that we shouldn’t own analytics with the edge in addition to obviously a Aruba. So I think to some degree the strategy has evolved, but really quite consistent with what we laid out and a big part of what we did this past year was portfolio optimization from this strategy. So on a go forward basis, I think as Tim said well, I think you can look for more ROI based smart acquisitions like Aruba, like SJI and so I think it's entirely consistent with the strategy that we laid out a year ago.
Toni Sacconaghi: Okay thank you for that. Just as a follow up. Anytime you divest or acquire particularly -- in this case you say well, could I have done what others are going to do on my own. So what I mean by that is I can't help thinking that HPE software business is going to be like 75% of Micro Focus going forward, you are far, far, far bigger than they are from a revenue perspective. And they believe as a much smaller player that they can improve operating margins 2000 basis points, 2000 basis points on your revenue basis $750 million a year an operating process, which at a 10 multiple, 7.5 billion and you haven't given up the business. So I guess the question is if the margin improvement opportunities are so huge even for a relatively small player why did you either not extract a better price or why did you not believe that you could have extracted those and created even more value for shareholders?
Meg Whitman: No, I think the first answer is this is what Micro Focus does. They are pure play Software Company who is expert at managing mature software assets. And as Micro Focus will tell you, most people who work in the software business and Silicon Valley want to grow assets. And actually some of these assets should actually be maintained on a stable platform that extends the value for customers and it’s actually not what we do, it is what they do. But then you come to the question of, why did we do a spin-merge as oppose to sell the whole business? And the reason is, is because our shareholders will be able to ride the upside of what Micro Focus does. Remember our shareholders will own 50% of the new company and by the way, I will be a shareholder of that new company given my vested options and my vested RSUs in HPE. And I can tell you I will be holding those shares because I think they are going to do very, very well. And so this was a much better alternative than selling the company today on a PE multiple operating income because you get cash, but you pay taxes and then our shareholders wouldn't get to ride the upside unless they went out and took new money to buy those shares. So we thought that was absolutely the right thing to do. And I have to tell you Tony in today's world where technology is changing at lightning speed I've got to tell you the value of focus, I am seeing it every single day. And so while may be back in the day it was great to be a technology supermarket like the financial supermarkets of yesterday. What I am pretty sure of is the next four or five years is going to be all about speed, agility and focus and innovation in something that is a more narrow focus.
Operator: Our next question comes from Sherri Scribner of Deutsche Bank. Please go ahead.
Sherri Scribner: I wanted to get a little more detail on the software spend. Will any of the software apps that stay with HPE business or will everything be spun-off? And then as part of that question, thinking about what you talked about at the Discover event the opportunities in Big Data, Internet of Things and Analytics. How does HPE benefit from those trends without having that software business? Thanks.
Meg Whitman: Sure. So what lives in our software business unit today is in fact spun and merged with Micro Focus. But we still remain in the software business, it's just a different kind of software business as I said, system software. The software defined infrastructure is all powered by software, but it's not applications software if you will like ITOM or ADM it is actually system software that powers the infrastructure of our customers. Now, you say, all right so how do we capitalize on the Big Data and Analytics? Well, first of all, we will be the leader in high performance compute with the acquisition of SGI. So, companies need to process and compute huge amounts, ever escalating amounts of data. So really the high performance compute market which is an $11 billion business growing at 6% to 8% will really be between HPE now with SGI and Cray, but many of the other competitors like Dell, Lenovo they are not in that high performance compute business. So, as people need financial services, energy, as they need compute to process all this Big Data if you will, we will be the leading player there. If you think about campus, branch and edge I think this is the next big growth area. If you think about autonomous driving vehicles, jet engines, healthcare sensors in healthcare beds and in devices, this is an area where huge amounts of data needs to be processed real time at the edge as opposed to enduring the latency of coming back to a major datacenter. So we’re going to be able to capitalize in the IoT trend by analytics at the edge and be able to compute and store at the edge. So that’s the way we’ll play in those trends, it will be different then like Vertica, which will go to Micro Focus, which is a big common or data base that processes huge amounts of data on a data base side, but we will pick-up the ability to process on compete storage and networking at the edge.
Sherri Scribner : Okay, thank you. And then just a quick clarification for Tim. On the TS, the Technology Services side, looks like there is an 8 point difference between actual revenue and the adjusted revenue. Was there something other than currency in that number, because that seems like a big delta? Thanks.
Tim Stonesifer: The H3C transaction impacted that as well.
Sherri Scribner : Thanks.
Meg Whitman: Because H3C had TS in China that went with that deal.
Sherri Scribner : Okay, great. Thank you.
Operator: Our next question comes from Steve Milunovich of UBS. Please go ahead.
Steve Milunovich: We’ve come a long way for better together here. I give you a lot of credit, because you’re basically creating this very focus companies whatever Computer Sciences is called and now Micro Focus, which I think does create a lot of shareholder value. But again when all is said and done, you’re becoming more and more a hardware company and I would think your competitors ultimately are going to be primarily Cisco and Dell and obviously they’ll use their large size against you and claim they’ve got AI capabilities and so forth. How do you see matching up against them when all is said and done? And are you going to have a relationship with Micro Focus that’s kind of favorite relation like you appear to have with Computer Sciences going forward?
Meg Whitman: Yes. The answer of that is absolutely yes. And actually beyond that, you saw what we announced today with SUSE, where there will be our preferred partner for Linux, as well as the OpenStack Distro. And listen a lot of the software products that are going in the spin-merge will be important to us going forward. So there will be a relationship there. So let me just give you a sense, I think we’re in a great position to compete with both Cisco and Dell. So for example, actually the HPE go forward strategy will be about $28 million Company, that’s only slightly smaller than HP’s than Dell’s enterprise business and it is more focus with better innovations. I think we should just contrast our strategy with Dell. So we are getting smaller, well they’re getting bigger. And this is important, because I believe speed and agility is critical in innovation and go-to-market. The second is they’re levering up and we are delivering. We have $5.3 billion of net cash on the operating company and we’re going to have a lot more by the time we’re done with these transactions and that gives us dry powder, it also gives us the ability to return cash to shareholders. And I think it’s difficult to be levered as much as Dell is in this environment. And then secondly, we’re leaning into new technology either through our own innovation, acquisitions or partnerships and we’ve got major focused on our side. What they’re doing is doubling down in old technology and the cost take out play and listen I think, I might be quite successful for leadership team there, from a financial perspective, I’m not so sure it’s good for customers.
Steve Milunovich: Okay. And then on enterprise group, just want to confirm that you said you do expect storage growth in the future now that’s reported or adjusted or whatever. But also can you talk about servers and what went on in the quarter and do you expect that to return to growth?
Meg Whitman: Sure. And by the way I forgot to address CISCO in your last question. So listen, CISCO is a good competitor, but they are missing a key element, which is storage. And as this converges, I think as in my environment converges and we look at hyper converged and on synergies, we’re innovating really nicely now, for the traditional data center as well as the software defined data center and I got to tell you a Aruba at the edge is killing it. And a 20% growth rate above our internal plan and we're just winning deals hand over fist there so, we feel really good about our ability to compete with CISCO. Okay, back to servers, so listen what's happening in servers is there's sort of core server growth, then there is Tier 1 servers which is to the big service providers and then is obviously high performance compute and the reason we did the SGI acquisition is to really stake out a great position in an $11 billion business as I said before that's growing 6% to 8%, that's very profitable for the compute itself, but also there's very high TS attached to high performance compute. Core servers around the globe are under some pressure right now, but you saw what we did in terms of increasing the margin and we're doubling down on SMB which actually is still, there's pockets of growth in that area and we're also doing workload specialization -- okay we have the best compute in the world to run SAP HANAR, it's not even close with anyone else. So, we're specializing around workloads. And then obviously there was a tough compare because of Cloudline a year ago, I mean we've just ramped up business into a multi-billion dollar business and so it's hard to compete with those compares, but we expect to continue to gain share in that market profitably. We're not in it for share-for-share stake, we don't want to take unprofitable deal, but as we continue to work on supply chain and the rationalizations we become more competitive there. And we're very mindful that ultimately there's Chinese competitors there as well and whether they're Huawei or Lenovo, it's not just Dell. So we're very aware of the cost structure we have to have to continue to compete.
Steve Milunovich: Any prediction of growth?
Meg Whitman: I think sort of low single-digits is probably what we'll grow, it'll depend on how much Tier 1 service provider business we want to take. But I'd say what you saw 1% to 2% is probably good estimate going forward.
Operator: Our next question comes from Maynard Um of Wells Fargo. Please go ahead.
Maynard Um: I was wondering if you can help me understand the $700 million after tax separation cost, when you say it will unlocking a more attractive financial profile. I guess what exactly does that mean, those redundant employee restructuring costs and will that drive up easy margins? And I've a follow-up.
Tim Stonesifer: I think it's really a combination of couple of things, when you -- when we separate the software business and you look at the remaining piece of HPE, we're going to be -- if you were to extract ES and software from our 2016 financials, in Meg's earlier comments, revenue growth would be incremental 300 basis points, margins would be up in incremental 100 basis points just north of 10% and free cash flow as a percent of revenue would be up 50%. If you look at the absolute free cash flow, it would be relatively neutral driven by the fact that software does generate some free cash flow, but that's offset by the pressure in ES. So, when we're talking about the financial profile it's really related to RemainCo.
Meg Whitman: And I have to say that with our Enterprise Group really being now the anchor for RemainCo, we've been very conscious about making sure that we've got an overhead cost structure that is in line with the $28 billion business, that we're making changes to how Enterprise Group is organized internally, there will be savings around our OpenStack Distro with our new relationship with SUSE and then finally moving HP Labs, Hewlett Packard Labs to EG is going to tighten the linkage between downstream development and commercialization which I think is something that needs to be done. So, we're all about making Enterprise Group more cost effective as we drive the RemanCo strategy.
Tim Stonesifer: And I would also add on RemanCo keep in mind that recurring profit will be above 60%.
Maynard Um: Great and then it looks like Dell raised pricing in the UK to offset the currency impact from Brexit, I was wondering if you could just talk about what impact that had on your business both in terms of revenue and margin and how we should think about that going forward? Will the hedging offset that to the bottom line? Thanks.
Meg Whitman: Let me tell you what we saw from a demand perspective and Tim can talk a little bit about our broader hedging strategy. We were not able to hedge in the quarter for the pound degradation, but what we saw was actually a pause in purchasing in the UK. Certainly the UK public sector, but the also the UK and then more broadly Europe which was, this was unexpected, a big change, let's take a pause and decide what we want to do here. And when we saw in a very market way, what I will say in the last couple of weeks we're actually seeing orders pick up again. It was almost like they took a pause and basically had to take stock of what was happening and then basically the orders have started to flow again. I mean we continue to also monitor the pricing, competitive pricing environment that we see and we adjust as necessary particularly in the channel. So the channel is where we serve SMB and that's where our ability to sort of move the pricing in response to competition, we look at that actually every single week sometime multiple times a week.
Operator: Our next question comes from Shannon Cross of Cross Research. Please go ahead.
Shannon Cross: I want to talk more about TS, it was up this quarter for the first time in a while and on a sort of net of divestitures and constant currency basis. How do we think about it as you look at the placements you've made over the last year I think you've mentioned some benefit from some of the hardware that were in place, but just as you look at the mix of hyper scale and what have you that you put out there, do you expect this to continue to grow sort of net of everything, is there an opportunity given with some quarters that it may dip. Just how should we look at it because it's obviously very important from a margin perspective?
Meg Whitman: So I think a little understood element of HPE is the dramatic transformation that TS has gone through. TS as is and was a very profitable business that was largely attached to business critical systems, very profitable very high attach. I mean you didn't really sell business critical systems without a TS attach. And when business critical systems both from a market perspective as well as the Oracle Itanium situation, by all right TS should be down 25%, if you remember Shannon over the last four or five years BCS was down 25% like clockwork every single quarter for four years as growing a little bit now. But all rights TS should have shrunk with BCS and it did not. And the reason it did not was very impressive new product offering, proactive care. Other areas where we help customers maintained their datacenters state and so the fact that in as actually only been down a few percentage points over the last 12 months is a testament to the leadership team in that business. And now what you're seeing is those new productive offering are starting to get real traction. Orders have been positive for the last three or four quarters and those orders are translated into growth this quarter, not a significant amount of growth, but 1%, we’ll take it all day long because it is a very-very profitable business. So we have more work to do on Technology Services, I will tell you what is the benefit of now being a small and more focused company. Antonio Neri and I are going to spend a whole lot of time now on what is the next generation of Technology Services and whether that’s flexible capacity services that allows consumption based model, whether it's proactive care, data center care, we are going to spend a lot of time there because it is the key strategic enabler of RemainCo HPE.
Shannon Cross: Okay and then this is a follow up, I am curious for the core company that you are going to have less, the cost structure is relatively close to where it needs to be, or are there more opportunities whether -- I think you mentioned a little bit in terms of the corporate cost but then just also within EG, where you might be able to optimize overtime to perhaps offset some pressure in or mix pricing?
Tim Stonesifer: Yes, sure I think from a cost structure perspective, we spent probably in the last 18 months, we have done some detailed benchmarking particularly in a functional areas as to where the business needs to be basically cost as a percent of revenue. So we are getting closer to those benchmarks, we are not quite there yet, but we are close and we are there in some of the functions. So as we have done these divestures or as we are doing these divestures, we obviously incorporate that into what the new cost structure needs to look like and obviously we need to be very aggressive around what we call stranded cost. So I think the good news is when you look at the HPE-HPI separation we did have some disynergies we call them, we have worked those through the system, with the H3C divesture, we’ve got much better with identifying the stranded cost and being much more proactive in managing them out, we are starting to see those come out. So we are confident that we can continue to do that to get to the bench mark we need to get to when these transactions are done.
Meg Whitman: I’ll just add a couple more things. When you are going to take -- we’ve been streamlining the cost structure of this company for four or five years, now we are starting to do things differently. Because you can only take out so much cost, there is only so much low hanging fruit, you have to do things differently and whether that is supply chain and logistics, whether that is how we are organized internally with all R&D under one R&D leader, whether it is putting our software defined infrastructure and our cloud offering under one leader, whether it is putting all of our go-to-market under one leader, where we have consistent go to market strategy discounting across the board. Frankly, we were much better at minimizing discounting in APJ and EMEA than we were in the United States. We now have that discipline across the company. And then finally corporate overhead we got have a corporate overhead that is designed for $28 million Company. And when we started we had a corporate overhead design for $110 billon company and then $50 billion Company and now at $28 billion Company. And I have to say I am really pleased with our ability to sort of right size the corporate overhead and be lean and mean, and that includes everything from HR, Finance, Legal IT things like real estates, systems. So we have made a lot of progress, but you will see more of that benefit I think in '17 and '18.
Tim Stonesifer: Thank you, Shannon I think we have time for one more question, please.
Operator: Our final question comes from Jim Suva of Citi. Please go ahead.
Jim Suva: My question is regarding the separation cost, if I remember from the press release I think it was around 700 million, is that correct? And how should we think about that the timing of that and is that all in cost? And I kind of also take it relative to say the divestures of the services was just 900 million, and while 900 million is 200 million more than 700, it seems like to me that the services was a much bigger heavier lifting divestures. So I almost whether is 700 million kind of why just so much and not much lower, or is it just so much integrated in Hewlett Packard Enterprise, that’s why it cost so much to break out? Thank you.
Tim Stonesifer: Sure. So yes, $700 million is the right number. Again we feel like the value that that transaction is driving is phenomenal for HPE as well as its shareholders. However, to realize that value we need to make investments and allocate resources to do the separation. So to your point, software although the activities are similar in nature to the transaction in ES they are discreet and they are not necessarily driven by revenue base or headcount levels. So when you look at software it's a global complex business, it has multiple legal entities that have been accumulated overtime through a series of transactions and because of that when you look at the tax to finance the legal the operating structure it is still very, very complicated. So, in order to separate that there are some large expense items in there, for example, separating 650 IT systems during the carve out financials translating GAAP to IFRS splitting a 150 legal entities in 60 countries, trying to figure out what we want to do with 200 real estate sites across the globe. So, there is certainly a lot of work that needs to be done there. The good news is we have done this before, so we know how to do it. The team has been very proactive and we are all over it, we have the work screens identified. So, we’re confident we’ll get there when we go for it.
Meg Whitman: The other thing, I think that's important Jim is, we have come these separations that we have done today whether it was HP Inc. from Hewlett Packard Enterprise, whether its ES from Hewlett Packard Enterprise. We have come in on time and actually below budget. And so we're really proud of that. And we expect that to happen, I don't know how much, listen 700 is what you should have in your models. If we're on target we ought to come in a little lighter than that.
Tim Stonesifer: And the other way I think about it is the benefit of the deal far outweighs the cost, right. So when we get that $2.5 billion cash dividend and that will be on shore cash that far outweighs the cost of doing the transaction.
Jim Suva: Thank you for the details and congratulations to you and your team.
Meg Whitman: Thank you very much.
Tim Stonesifer: Appreciate it. Thank you, everyone for joining today.
Operator: Ladies and gentlemen this concludes our call for today. Thank you. You may now disconnect.